Operator: Welcome to LoopNet Inc. earnings conference call for the first quarter of 2010. The date of this call is April 28, 2010. This call is the property of LoopNet Inc., and any recording, reproduction or transmission of this conference call without the expressed prior written consent of LoopNet is strictly prohibited. This call is being recorded. You may listen to a web cast replay of this call by going to the Investor Relations section of LoopNet’s website. The web cast will be available on the company’s website until April 30th, 2010. I will now turn the call over to Derek Brown, Vice President, Investor Relations and Corporate Planning.
Derek Brown: Good afternoon. Thank you for joining us to discuss LoopNet Inc.’s financial and operating results for the first quarter of 2010. With me today are Rich Boyle, Chief Executive Officer and Chairman; and Brent Stumme, Chief Financial Officer. Today Rich will begin with an overview of the business and overall corporate strategy continued by a summary of the company’s first quarter performance and review of the marketplace. Brent will review the first quarter’s financial results and provide second quarter 2010 guidance. In May 2010, LoopNet will be meeting with institutional investors around the country. On May 10th, we will participate in the JMP Securities Research Conference in San Francisco California. On May 25th, we will present the B. Riley’s 11th Annual Investor Conference in Santa Monica and on May 26th, we will be in Manhattan for the Steven Spring Investment Conference. We hope to see you at these events but we’ll also make web casts of our presentations available on the Investor Relations section of LoopNet’s website. I would now like to bring the following to your attention. On the call today you may hear forward-looking statements about events and circumstances that have not yet occurred. Actual outcomes and results may differ materially from the expectations contained in these statements due to a number of risks and uncertainties. Please refer to the Company’s recent SEC filings at the SEC’s website at www.sec.gov for detailed discussions of the relevant risk and uncertainties. The company does not intend to update the forward-looking statements in this conference call, which is based on information available to us as of the date of this call. The press release distributed today that announced the Company’s results is available on the Company’s website at www.loopnet.com in the Investor Relations section, under Financial Press Releases. The current report on Form 8-K furnished with respect to our press release is available on the Company’s website in the Investor Relations section under SEC filings and on the SEC’s website. You will also hear discussion of non-GAAP financial measures. Reconciliations of these non-GAAP measures to their most comparable GAAP financial measures are contained in the press release distributed today and available on the Investor Relations section of the Company’s website. Now, I will turn the call over to Rich Boyle, Chief Executive Officer and Chairman.
Richard Boyle: Thank you Derek. I’d like to welcome all of you to the LoopNet first quarter 2010 earnings call. On our call today we will discuss our performance during the first quarter and share with you our perspective on current conditions in the commercial real estate industry and discuss all those conditions that are impacting our business. Additionally we will provide you with updates on a number of other ongoing initiatives of the company. Following my prepared remarks and those of Brent Stumme our Chief Financial Officer, we will be opening the line for your questions. The first quarter of 2010 marked an inflection point for LoopNet and we are very pleased with the overall performance of our company. Among the many achievements in this past quarter we highlight the following: comfortably exceeding the financial targets we set three months ago, increasing revenue sequentially for the first time since the third quarter of 2008, increasing our base of premium members sequentially for the first time since the third quarter of 2007. Advancing our efforts to organically expand the scale of our marketplace and the scope of our services closing two acquisitions BizQuest and Reaction Web and the investment in auction point that add to our footprint and expand our solutions set for our customers. Needless to say it was a busy first quarter, we are particularly excited about the progress we are making on products and initiatives we expect will deliver value to our customers and create value for our shareholders as we bring them to market overtime. And finally all of this was achieved despite dynamics in deal volume in the commercial real estate industry that continued to be very challenging by any normal historical standard. Revenue in Q1 of 2010 was $18.8 million compared to our guidance of $18.1 million to $18.3 million and adjusted EBITDA was $6.9 million or $0.16 per share compared to our guidance of $6.3 million to $6.5 million. Our adjusted EBITDA margin for the quarter was 36.4% toward the higher end of our stated target range for 2010 of low to mid-30s on a percent basis. In our view these better than expected results highlight the health of our underlying business model reflects favorably on our consistent financial discipline and the ability of our team to execute and indicate a modest improvement in broader commercial real estate industry conditions. Equally important, several key operating and activity measures of our core business showed further improvement in the quarter. As mentioned previously our base of premium members grew sequentially in the first quarter of 2010 for the first time since the third quarter of 2007. Additionally we saw substantially positive year-to-year changes in the average monthly cancellation rate of our premium members profile use and profile to use pre-listing as well as the number of subscribers to our recent sales service. In our view this activity coupled with market insights from third party sources such as CB Richard Ellis, Jones Lang LaSalle and Real Capital Analytics lends further support to our view that dynamics in the investment sale market may be continuing to improve albeit very gradually. In short Q1 of 2010 witnessed our business benefiting from industry stabilization saw us continue putting key pieces in place to capitalize on opportunities we see in the future and has us very excited to be turning the corner into growth mode once again. Let’s now talk in some more detail about what’s going on in the commercial real estate industry. During the first quarter of 2010 conditions remain challenging when compared to any long-term benchmark of activity despite showing some encouraging signs of stability in recent months. Specifically transaction volumes remained at historically low levels, asset prices fell further from year ago levels, credit markets remained fairly constrained, rental rates continue to decline and vacancy rates continued their ascent. As we have said previously results in our business correlate much more closely with changes in transaction volumes than with changes in asset prices and while there were hopeful signs of stability the fact remains that industry wide investment sale transaction volumes remained deeply depressed through the first quarter of 2010. According to data from research firm Real Capital Analytics which focuses exclusively on larger properties, the number of sale transactions closed in Q1, 2010 was flat from year ago levels but was down 86% from the second quarter of 2007 which was the industry’s peak period. To put this level of activity in some additional perspective, the total number of closed transactions in the first quarter of 2010 was 74% lower than Q1 of 2008 already reduced volumes and about 44% lower than the total recorded in a more typical period such as the first quarter of 2003. At the same time however it’s worth highlighting the Q1 of 2010, marked the first non-negative year-over-year change in deal activity, since Q3 of 2007 and the vast improvement from the 49% year-over-year decline seen on average over the four quarters of 2009. Investment sale transaction volumes remained well-below longer term averages for the same for primary reasons that have been at fault for several quarters now. First, a bid ask pricing gap. Second, lender’s pursuit of a “pretend and extend” strategy. Third, constrained credit availability and fourth, a lack of urgency amongst the buyers or investors. While it seems clear to us that the importance in leading of each of these factors has shifted overtime and we anticipate ongoing month-to-month volatility in each for a while longer. The basic dynamics of the four sale side of the industry have not changed materially in recent months. We continue to bump along the cyclical bottom in terms of deal volume while expecting a gradual improvement in activity throughout 2010 and into 2011. We are hopeful that these cyclical industry dynamics will in the not-too-distant, once again serve as a tailwind for our business rather than a headwind. We believe ongoing price declines and/or a surge of distressed properties coming to market would bring bargain hunting buyers to the table in greater numbers. At the same time, a loosening of credit would likely be a call for action for already interested buyers, and we expect a greater sense of urgency to enter the market as transaction volumes start to increase consistently. It is impossible to predict when any of these possible scenarios might unfold, but we remained confident that each would help to fuel that’s core marketplaces franchise. The leasing side of the industry also showed signs of bouncing along the bottom in the first quarter of the year. While vacancy rates remained elevated and in most cases continue to rise and rental rates continue to fall, tenants are moving to take advantage. Evidence has emerged with greater frequency that businesses are more confident in their outlooks and as a result are increasingly trying to lock in lower rates in higher quality buildings in a market seeing increasing amounts of renewal activity. To better frame this, CB Richard Ellis a leading commercial real estate services firm recently reported that the US office vacancy rate increased to 16.6% during the first quarter of 2010 compared with 16.3% in Q4 of 2009 and 14.7% in Q1 of ‘09. While this marked the tenth consecutive quarter in which the vacancy rate has increased sequentially and though increases were seen in 38 to 57 markets. The rate of degradation improved noticeably from the year ago period. Additionally, CBRE data indicated that the national industrial availability rate increased to 14% in Q1 of 2010 also marking the tenth consecutive quarter of rising availability while the retail availability rate increased by about 120 basis point year-over-year to 12.8% for the quarter. The implications for LoopNet of these conditions in the leasing segment of the market which are likely to persist throughout much of 2010 is not longer are generally positive. As building owners now faced with considerable amounts of empty square footage, become highly motivated to see that brokers are working harder and more effectively to market their spaces. This dynamic resulted in a 17% year-over-year increase in the number of four new spaces being marketed on our marketplace in Q1 of 2010. Now let’s drill down a little more deeply into how these industry conditions impacted us. Our core market place business experienced ongoing improvement in the number of key operating metrics for the third consecutive quarter while we remain reluctant to say that trends will remain consistently positive going forward we are very encouraged by many aspects of what we saw during the first quarter and more broadly what we have seen since the middle of 2009. Most significantly we ended the quarter with 68,809 premium members and increase of 431 paying subscribers to this service from the fourth quarter of 2009. Marking the first sequential increase in our basic premium members since Q3 of 2007. We are very excited about this sequential gain and believe it is the strong indicator of both the value we deliver and the industries stabilization after nearly 2.5 years of credit-crunch-related disruption. A meaningful year-over-year improvement in our cancellation rate and solid new account sales with the primary reasons for gains in our premium membership totals in the quarter. Our 2010 cancellation rate matched the level achieved in the fourth quarter of 2009 and was once again the lowest it has been since the fourth quarter of 2007. As such our cancellation rate remains comfortably within the 4.5% to 6.5% monthly range that we began saying two years ago. In our view the consistent improvement in this metric over the last three quarters is attributable to a combination of searching principles becoming more interested in looking for buying opportunities; the stabilization in the number of active brokers as the declines in occasional participants are flushed out and stability within your pricing model. In total premium membership accounted for approximately 72% of total company of revenue in the first quarter of 2010. This is a decline from the roughly 75% we have cited frequently in the past due impart to recent acquisitions as well as to organic growth seeing in other areas of our business such as recent sales and advertising among other factors. Looking at the supply side of LoopNet’s market place, at the end of Q1 2010 there were more than 459,000 listings of spaces for lease and nearly 295,000 properties for sale. Bringing the total to more than 754,000 active listings up 10% year-over-year. Overall growth was fuelled by activity in the four lease segment which saw year-over-year growth in spaces being marketed exceed 17% for the 22nd consecutive quarter as vacancy rates increased nationwide and more brokers chose to market their four lease listings on LoopNet. Conversely and perhaps not surprisingly for sale listings on our platform were essentially flat year-over-year and increased very modestly quarter-over-quarter reflecting the deadlock nature of the broader commercial real estate for sales sector that we previously noticed. In addition to these totals, our business for sale unit which now includes BizBuySell as well as BizQuest ended the quarter with 81,667 listings up roughly 70% from Q1 of 2009 levels. We continue to believe that the strong performance of our marketplace on both the four sale and the four lease sides is being fueled by the ongoing secular shift online of the industry and by the superior performance size and scope of our platform as compared to alternatives both online and offline. Additionally we think our four lease business is continuing to benefit from the rapidly increasing number of vacant spaces that need to be marketed across the country as well as from our recent efforts to proactively bring listings to the marketplace. Now looking at demand activity we saw the ongoing trend we began to note in the second half of 2009 that bargain hunting principals are focusing more time and resources analyzing markets and searching for potential investment properties on our marketplace. Profile views of listings on LoopNet.com in Q1 of 2010 searched 36% from year ago levels to 44.9 million which is the largest year-over-year increase we’ve seen in this metric since Q4 of 2006. At the same time the number of profile views per active LoopNet listing a key measure of overall liquidity in our marketplace reached 59.6 in the first quarter of 2010, an increase of 24% from Q1, 2009. This is the second consecutive quarter of improvement in this metric on a year-over-year basis and only the second year-over-year improvement and all since Q1 of 2007. This also marked the largest year-over-year increase which seemed in this metric since Q4 of 2006. Equally note worthy and encouraging, this growth was fueled as much by activity in the for-sale arena as by the for-lease sector. Lending further credence to the view that the significant compression of asset prices throughout 2009 and into 2010. We’ll now be attracting demand in greater quantities. At the same time data from comScore medium metrics indicates that the average number of monthly unique visitors during the first quarter to LoopNet properties including LoopNet.com, Cityfeet.com, LandAndFarm.com and BizBuySell.com was 1.4 million per month on average. That number does not include traffic to our progress side, such as brokerage customers of LoopLink or the newspaper distribution network partners such as the Wall Street Journal in the archives. Traffic to LoopNet.com alone was approximately was 977,000 unique visitors per month in the first quarter of 2010. In short our overall marketplace in distribution network continues to generate unparallel visitor traffic and marketing exposure through our listing customers compared to any online alternative. We believe that multiple factors contributed to this significant increase in vibrancy in our marketplace including ongoing improvements to our search engine optimization efforts. The overall growth in scale of our marketplace an ongoing indications of an incremental increase in demand side interest. Now I’d like to update you on some of the other areas of our business. As the first quarter of 2010 also saw us make meaningful progress in the number areas beyond premium membership. For example total subscribers to recent sales which is our database of comparable sales records reached the third consecutive all-time highs in the first quarter of 2010 offering us yet another indication as that demand activity is on the rise. As principals and other industry participants increasingly familiarize themselves with the market dynamics in anticipation of resumption of transaction activities in the quarters ahead. In January of this year we acquired the assets of privately held BizQuest. Founded in 1994, located in Southern California, BizQuest operates the number two business per sale in marketplace behind BizBuySell. In our roughly three months of ownership we have already fully integrated the BizQuest team, introduced significant improvements in functionality to our customers such as single point of entry functionality under both the BizBuySell and BizQuest websites and started effectively cross selling the brands to our respective customer sets. With this acquisition we believe we have extended our already significant lead as the dominant business for sale marketplace on the internet. Also in the first quarter and late March we announced the acquisition of Reaction Web, a leading provider of online marketing and listing management solutions to the commercial real estate industry. Reaction Web provides us, we have advanced, customizable online marketing solutions including services such as websites, e-mail marketing, lead tracking and transaction management tools that enable brokers to monitor and automate core steps in the deal process, such as investor approval, execution of confidentiality agreements, response tracking and the creation of due-diligence war rooms. We are excited to have Reaction Web’s founders Mike Mockus and Paul Dynan, along with the entire Reaction Web team as part of LoopNet team and are anxious to more fully integrate and cross sell Reaction Web’s solutions to our extensive base of customers. Our investment in strategic partnership with AuctionPoint is also very exciting. The AuctionPoint platform offers an innovative broker friendly approach to commercial property auctions and we believe that by working with them, we will be well positioned to capitalize on the rapid increase in distressed properties coming to market. As part of our partnership we will be working with AuctionPoint to offer their auction platform to tens of thousands of commercial real estate brokers marketing listings on LoopNet. From an organic product perspective in the first quarter of 2010, we introduced a beta version of the new information service, LoopNet market trends across key property types in hundreds of territories around the country at the city accounting metro and state levels. These reports which are currently free to all registrants provide our users with unique insight into pricing trends in the markets by initially focusing on asking prices for sale properties and asking rents for-lease properties broken down by region asset type and deal type. Well some of this information is available from other providers, it is often quite expensive to access and is typically updated slowly. LoopNet’s market trends is a great example, we can leverage the power of our marketplace model to gather and provide information in near real time to our users increasing the overall transparency and efficiency in the market and creating a real value for our users at a fraction of the traditional expense to them. During the quarter we also launched LoopNet member profile for running our customers with a platform to extend their LoopNet usage in content into a variety of social media and social networking functions. It provides a forum for building and managing their online reputations communicating with their customers and the broader community via things like blogs, connecting with other professionals and marketing their services, expertise and listings. After a soft launch just a few weeks ago, we already have thousands of professional profiles and blog posts which are being viewed tens of thousands of times for each week. Looking ahead we continue to believe this is an opportune time to invest aggressively in our business for the future. Accordingly we are continuing our efforts in three key areas. First, we are investing to accelerate the aggregation of activity on our core marketplace platform increasing both the scale and activity around marketing and searching for listings. Second, we are focusing substantial resources on the organic development of new services aimed at increasing the scope of information that we delivered to an expanded set of customers. In addition to continuing our investment in Xceligent, a provider of fully research information services to commercial real estate professionals. We see opportunity to marry user generated marketplace data with a variety of other sources and development methods to deliver timely, useful and accurate market data at prices well below traditional alternatives. These efforts will help us add more functionality to our existing information services such as recent sales and market trends and to introduce new services to customers in coming months. In addition we continue to explore new potential acquisitions as well as to work on upgrading, integrating and expanding the offerings from some of the acquisitions we have done in the past including RE Applications, Land and Farm and now BizQuest and Reaction Web. In conclusion we are very pleased with how LoopNet both our business and our team performed during the first quarter of 2010. We comfortably exceeded our financial targets for the quarter, registered sequential growth in both revenue and premium membership totals for the first time in a long while, closed three strategic transactions, saw ongoing improvement in a number of the key operating metrics and made tangible progress on products and initiatives we expect will deliver value to our customers over time. We continue to believe the industry conditions will improve gradually throughout 2010 and remained enthusiastic about the opportunities we seem to grow our buying share, our market share and our financial footprint in coming years ultimately growing our business and creating value for you, our shareholders. Thank you, and now Brent Stumme, our Chief Financial Officer will take us through the quarter’s financial results.
Brent Stumme: Thank you, Rich. LoopNet’s revenue for the first quarter of 2010 was $18.8 million compared to $18.3 million in the fourth quarter of 2009 and our guidance of $18.1 million to $18.3 million. This marked the first quarter-to-quarter increase on revenues since Q3 of 2008, reflecting an increase on our base of premium members and subscribers to recent sales, the impact that recently completed acquisitions and a modest improvement in broader industry conditions. LoopNet’s adjusted EBITDA for the quarter was $6.9 million or 36.4% revenues compared to $8.4 million in the first quarter of 2009 and our guidance of $6.3 million to $6.5 million. Net income applicable to common stockholders for the first quarter of 2010 was $2.3 million or $0.05 per diluted share compared to $2.8 million or $0.08 per diluted share in the first quarter of 2009 and our guidance of $0.04 to $0.05 per diluted share. Non-GAAP net income which we defined as net income excluding stock-based compensation, amortization of acquired intangible assets and litigation related costs for the first quarter of 2010 was $4 million or $0.09 per diluted share compared to $4.8 million or $0.13 per diluted share in the first quarter of 2009. As previously announced the Company’s Board of Directors has authorized the repurchase of up to $75 million of common stock and during the quarter ended March 31st, 2010 the company repurchased 301,825 shares of its common stock for $2.9 million. As of March 31st, 2009 the company had $118.5 million of cash, cash equivalence and short-term investments and no debts. Now I would like to review some of our key operating metrics. The number of registered members which includes both basic and premium members grew to 4,121,906 during the first quarter of 2010, a 3.9% increase over the fourth quarter of 2009 and a 20% increase over the first quarter of 2009. The number of premium members as of the end of the first quarter of 2010 was 68,809, a (inaudible) increase from the fourth quarter of 2009. Embedded in this metric was an average monthly cancellation rate that was within the 4.5% to 6.5% range we began seeing two years ago. Average monthly revenue per premium member was $66.16 in the first quarter of 2010, essentially flat compared to the first quarter of 2009 and year ago levels. The number of profile views of listings on the LoopNet marketplace during the quarter was 44.9 million, a 36% increase from the first quarter of 2009. Average monthly unique visitors on the LoopNet marketplace were approximately 977,000 a 1% decline from the first quarter of 2009. As of March 31st, 2010 the LoopNet marketplace contained 754,116 listings, a 3% increase compared to December 31, 2009 and a 10% increase compared to March 31st,2009. Additionally our business for-sale marketplace contained 81,667 listings of operating businesses for-sale, a 70% increase compared to March 31st, 2009. This increase was primarily the result of our recent acquisition of BizQuest which we announced on January 26th. That brings me to our business outlook. Based on current industry dynamics and marketplace trends, the company expects revenue for the quarter ending June 30th, 2010 to be in the range of $18.6 million to $18.8 million; adjusted EBITDA to be in the range of $6.4 million to $6.6 million and net income applicable to common shareholders to be in the range of $0.04 to $0.05 per diluted share assuming stock based compensation of approximately $0.03 per diluted share net of tax benefit and our effective tax rate of approximately 38%. Thank you for joining us today. And I’ll now open up the call for questions.
Operator: (Operators Instruction) And our first question will come from the line of Ian Corydon from B. Riley and Company.
Ian Corydon: Thanks. The Q2 revenue guidance implies that revenues could be down sequentially, which seems little odd given the trend and your kind of overall outlook. Is that conservative, or what’s kind of the reason for that?
Brent Stumme: This is Brent. I guess sort of a couple of things. We do have a decent model of revenue that is not subscription based like advertising and some of those products are little bit hard to predict. So, that is a little bit conservative in there given some of those non-subscription products.
Ian Corydon: And the other revenues, was that down year-over-year organically?
Brent Stumme: Probably it will be down slightly organically, that’s correct.
Ian Corydon: Are you going to provide annual guidance for what BizQuest and Reaction Web are doing?
Brent Stumme: Yeah we haven’t so far and I’d say that we don’t intend to.
Ian Corydon: Last question is on profile views per lifting, they were up year-over-year but down sequentially is that seasonality or what could be the reason for that?
Rich Boyle: Its not really seasonality and this is Rich, easily the demand which is a little bit different and I think the biggest issue we think is going on is that Q4 saw a lot of activity of people sort of in effect developing new investment strategies in advance of this year. It has always been by the way a little bit of volatility in that number from quarter-to-quarter, so it does bounce around a little bit but then it was just probably mostly around people looking in Q4 sort of for the first time that had been called some pent up research that hadn’t been done for year and a half while people were waiting.
Operator: And our next question will come from the line of Steve Weinstein from Pacific Crest.
Steve Weinstein: The last question I am a little confused by the Q2 guidance as well, because it does seem like everything is on a growth track here, which is with Reaction Web. Is that going to contribute revenue in Q2 that’s incorporated in your guidance?
Brent Stumme: Yes, there is some revenue there but I’d say its definitely non-material, non-revenue. And the other thing on the, the area of question about the sequential revenue in the guidance is which you have to remember is that given that we do have a subscription model although we were positive 400 or some subscribers is that that doesn’t increase revenue that much as you can imagine so it takes a while subscription business to get the thing moving up again.
Steve Weinstein: Just two more questions, you highlighted the factors that led to the upside to your guidance I think you said, acquisitions, new product and just industry trends. Could you maybe weight those a little bit and help us understand little bit more where the upside came to your guidance? Because, normally you have really strong visibility into it. And then if you have any plans to kind of change the business models for the companies you recently acquired, I’d be curious?
Rich Boyle: Sort fairly our performance in Q1 (inaudible) there was a few $100,000 of revenue from acquisitions. So that’s clearly added to it and it’s inorganic in that quarter. And then the cancellation rate was a little bit favorable to what we expect to them the overall sales was a little bit favorable of what we expect, I am speaking specifically about premium membership there. And then in the other products category you know both seems like recent sales as well as the few with non-subscription things like some of the advertising on the platform was also a little bit favorable though. It wasn’t really one big key driver, it was a number of relatively small things the like-for-like connection. And then in terms of the question about business model changes. The interest we had over time, we do intend to make stuff. I think the greater example would be you know Reaction Web in particular is a pretty small business today. The work they do really involves kind of focused on higher end properties with a fair amount of customization and what we think is the really interesting opportunity is to create a more productized version of what they do and just scale it up pretty dramatically. So its tools for marketing properties beyond just simply marketing on diluting that marketplace we have variety of other kind of online channels. And with the productized version of what they do has great application to a large number of users. But it will require some work and our current investment in our part as well.
Operator: (Operator Instructions) And our next question will come from the line of Brett Huff from Stephens.
Brett Huff: In the past, you’ve talked a little bit about foreclosure statistics or, I guess distress statistics. Do you have those? Or can you give us any anecdotal if not more systematic view of that again that was I found that very helpful.
Rich Boyle: I don’t have a rate in front of me. I am happy to both provide them, we can include it in investor presentation update that will go on our website shortly but just anecdotally its trending still in that same direction. Meaning the amount of the stress is I think is still increasing pretty dramatically in the industry so looking at whether it’s new to stress listings on LoopNet. We are continuing to see the trends up in the industry in general more distressed being brought to market. It is slower than I think everybody would have predicted say 18 to 24 months ago largely due to this pretend and extend phenomena we’ve talked about where banks are extending the terminal loan and the owner is excited about that because interest rates are still low enough that the carrying costs and the building are still acceptable to them. So it’s developing. The trends are largely continuing along the same lines that we’ve seen in the past but there is not anything that’s dramatically different on the news there at this point.
Brett Huff: And then on the increase in premiums, I think you detailed a little bit about kind of a makeup of that, and I think you said what you thought the main driver was, was buyers coming back. Any more detail on that in terms of how did marketers or sellers add to that? Or can you give us sort of a net up-down versus the gross up-down kind of just bifurcate that?
Rich Boyle: Well it’s mostly coming on the buy side at the moment and in particular if you look at the listing side of the system, the people that are marketing for sale listings and keep in mind most of our customers that are marketing listings are sort of general lists, view lot of small deals and we don’t differentiate. When they buy the subscription it could be used to both market spaces for lease and buildings for-sale. But when you look at the actual sort of de-facto usage, there is a relative lack of for-sale listings right now. Owners are just simply not commissioning the broker to sell their properties unless they have to for some reason. We are seeing on the other hand some good performance on the searching side with principals coming in and being interested in looking for properties to buy. The manifestation of both a favorable change in the cancellation rate that we started seeing in Q3 of last year which is continued and some modestly increased sales as well that are sort of as the industry activity gradually picks up is really the driver behind all that.
Brett Huff: And then the last question for me, can you just give us your thoughts or your view, you did a little bit, but the lease versus buy/sell activity. The way I understand it is and the way I heard you say it is that lease activity is starting to happen now as rates kind of, at least people think they’re getting close to a bottom. But buy/sell continues to be not really looking up yet. If that’s the right way to look at it, any additional color on that or timing or any other thoughts on that bifurcation?
Rich Boyle: Yeah, I think that you got it right there is how we view and on the for-sale side, the industry dynamic is still a pretty low activity environment though it’s quick getting bad and that’s gotten slightly better but not dramatically better for the reasons we enumerated on the call. On the leasing side what’s really going on right now, if you look at it from a complete macro level, vacancy rates are still going up and rental rates are still going down which is certainly the wrong direction from our current owners point of view. However if you’re a tenant, it’s not really a bad thing so you only think of ourselves and our residential marketplace in both sides of it. So the activity increase that we are seeing on the recent churn of the market are basically existing businesses that are now increasingly confident about the state of their business and the state of the economy and they are looking around seeing in many cases higher quality space available at a lower rate and particularly anybody who is already facing a lease renewal has a great opportunity to go lock in some better space at lower rate and so activity is picking up in that renewal sector and commercial real estate brokers I think that are looking at renewals are more active than they were a year ago substantially. However net absorption is still negative. Overall vacant space is still increasing because new businesses are not coming along and existing businesses are looking for cost savings but they are not really expanding at this point in time.
Brett Huff: One follow-up to that. You guys have sort of talked generally about how there was two different phenomenon drive your business from a revenue point of view. Can you give us some color on that?
Rich Boyle: The marketing spaces for lease is absolutely one of the key activities that we monetize on our platform. So that overall, more space coming available on the market creates a tailwind and we are continuing to see good growth in that segment of our business. The space is for lease up 17% year-over-year. 22nd consecutive quarter of double digit growth, we feel like its going very well for us. The buildings listed for sale is probably the most challenging segment of our business right now in terms of growth, again just poor lack of listings, the value proposition is there. I think the customers are committed in using our platform just brokers don’t have as many listings as they did a year or two ago.
Operator: (Operator Instructions) If there are no further questions, ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.